Operator: Good morning. My name is Lynn. I will be your conference operator today. I would like to welcome everyone to the JetBlue Airways' First Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, Kevin Crissey. Please go ahead.
Kevin Crissey - Director-Investor Relations: Thanks, Lynn. Good morning, everyone, and thanks for joining us for our First Quarter 2015 Earnings Call. Joining us here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP Commercial & Planning; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from our forward-looking statements, please refer to our press release, 10-Q and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - Chief Executive Officer and Member of the Board: Good morning, everyone, and thank you for joining us. Earlier today we reported our results for the first quarter of 2015. In the quarter, net income was $137 million, or $0.40 per diluted share. This represents year-over-year net income growth of over $130 million. These strong results would not have been possible without the tireless efforts of our terrific crew members. Thank you for all of your hard work, particularly given the very challenging weather conditions this quarter. Our crew members, 16,500 strong, came together during this season of snow storms and delays to do everything possible for our customers to help them to arrive safely at their destinations. I know we have the best and most engaged crew members in the industry and they are truly inspiring humanity everyday supporting our customers. Total revenues grew 13% year-over-year in the quarter driven by strong demand, strategic expansion of our network, product enhancements, and excellent work by our revenue management team. First quarter operating margin improved by more than 13 percentage points to 16.6%. Lower fuel prices certainly helped these results with our realized average fuel price of $2.06 down 34% versus quarter one 2014. But, please note, even if fuel prices had held steady at last year's level, our operating margins would have improved about two points. With respect to our network results, all six of our focus cities continue to be profitable and experienced year-over-year margin expansion in the quarter. This is a great result in what is typically the most challenging quarter for JetBlue. One of our three largest recent network investments, mainly Boston, Fort Lauderdale/Hollywood, and Mint are exceeding expectations even without the impact of lower fuel prices. Our Boston investment is driving strong returns. Margin in Boston has expanded three points more than our system average over the last 12 months. In Fort Lauderdale/Hollywood, our growth has generated even better returns than anticipated. In fact, over the past year, our margin in Fort Lauderdale has expanded faster than the system average despite twice the capacity growth rate. And finally, customer response to Mint, our premium experience for New York, JFK to Los Angeles and San Francisco has been stronger than expected. In quarter one, RASM on our Mint routes was up over 20% versus last year. We recently announced Mint seasonal service to Aruba and Barbados from New York, JFK starting in November. With this service, JetBlue becomes the only U.S. carrier to operate regularly scheduled service with lie-flat seating to the region. We are often asked about other expansion opportunities for Mint. Although we are not ready to announce anything today, based on Mint's amazing results, we are evaluating additional markets. Let me now highlight our operational performance. We faced a string of eight straight named winter storms during the quarter, which hampered operations. All of our Northeast Blue Cities were impacted, but Boston was particularly hard hit, with Boston's Logan Airport breaking snowfall records for the year and for the month of February. In fact, more than five feet of snow fell on Logan in February, about 50% more than the next snowiest February on record. We had a number of instances where our crew members were personally impacted by the weather, and we are so appreciative of their focus and dedication during these very challenging operational conditions. With this backdrop, we were pleased with our operational performance in the quarter. We encountered more adverse winter weather in quarter one 2015 than quarter one 2014, and yet our teams still improved their year-over-year operational metrics. On-time departures, or D0, improved 1.8 percentage points year-over-year to 57.8%, while our system arrival performance, or A14, improved 1.4 percentage points to 71.8%. During the storm months of January and February, JetBlue completed the highest percentage of flights at Boston and New York City of any of our key competitors. Our operational philosophy and our strong contingency plans were well executed and contributed to our improved net operating income. I'm extremely proud of the safe and efficient execution of our operating plans during what proved to be a very challenging winter quarter. Turning to partnerships, as we talked about in past calls, we continue to deepen our partner relationships. Strengthened our relationship led Emirates to not only add service to our focus city in Orlando, but this fall Emirates will be expanding in Boston with a second daily flight to Dubai. Since Emirates started this route in March 2014 and on the same day JetBlue launched Boston-Detroit service, we're seeing traffic from around our network flow through Boston onto Emirates and other partner networks at a rate well above our expectations. This new flight to Boston will provide even more opportunities for customers to connect between our two networks. I'd also like to highlight the impact these types of connections can have on our domestic fares. As a frame of reference, when we started Boston-Detroit, the average industry non-stop fare paid between the two cities dropped from $266 to $163, a decrease of 39% and passenger traffic more than doubled. In closing, we are pleased with our results in the first quarter but remain focused on executing on the initiatives we've outlined to improve our financial returns. With that, I'd like to turn the call over to Marty to discuss our revenue results.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you, Robin. Good morning, everybody, and thanks for joining us. Demand in the first quarter was strong. Passenger unit revenue, or PRASM, increased 4.5% on capacity growth of 9.6%. As Robin mentioned, a series of eight named winter storms impacted our operation during the quarter. We estimate that the storms reduced revenue by about $18 million. PRASM, however, benefited by nearly 2%. Although we reduced available seat miles, we were able to re-accommodate many of the affected customers. Thank you to all of our crew members for delivering outstanding service in such trying circumstances. Looking at our performance on a regional basis, we saw PRASM strength across our system in domestic, Latin America and Caribbean markets. Domestic market had previously performed well, but Latin America and Caribbean markets recovered nicely in the first quarter, due to a combination of competitive capacity reductions and improved warm weather destination and VFR traffic. We believe the results that we have seen in the Caribbean provide evidence that patience with our network strategy is being rewarded. Based on (9:02) data, unit revenue across our combined domestic and Latin networks outpaced the industry by over five points in the first quarter. While we benefited from comparatively less competitive capacity, underlying demand trends across our network were very strong. I want to give special thanks to our revenue management team who did a truly fantastic job maximizing revenues during the quarter, including leaving (9:29) fare increases as close-in demand was particularly robust. Other revenue decreased 3% year-over-year in the first quarter. This was not a surprise considering that LiveTV revenues were included last year and not this year. As a reminder, we sold LiveTV in June of 2014, so Other Revenue comps will remain challenging in the second quarter. For the sake of modeling, as a reminder, LiveTV revenue was about $16 million in the first quarter of 2014 and $14 million in second quarter of 2014. Getaways, our vacation package service, had a very strong quarter with revenue up more than 50% versus 2014. This is off a relatively small base, but we are very excited about the long-term potential for this business. As you may remember, Getaways was one of the several initiatives we highlighted at our Investor Day in November. Getaways' revenue increase this quarter was primarily driven by a combination of increased awareness of the Getaways' product by our customers, enhancements to our hotel portfolio, and revenue management of non-air margins. Turning to Fare Families, or what customers will know as fare options, we are on schedule to launch fare options in the second quarter. Recall fare options will provide our customers the choice between three branded fares, with the first designed for customers we do not plan to check a bag. By 2017, we expect fare options to improve annual operating income by at least $200 million. Now to Fly-Fi, our high-speed broadband Wi-Fi product. As we mentioned at Investor Day, we expect to fully cover the broadband cost of Fly-Fi in 2015 from content partnership revenue. We've already announced our content partnership with The Wall Street Journal. We expect to announce a couple of important new partnerships very soon, so please stay tuned. And with that, I'll turn the call over to Mark to provide further details on the quarter.
Mark D. Powers - Chief Financial Officer: Thank you, Marty. Good morning, everyone. Thanks for joining us. This morning we reported record first quarter operating income of $253 million. This is $212 million more than the same quarter last year. I'd like to join Robin and Marty in recognizing the great job our crew members did this quarter. We had a very good quarter despite weather challenges. With respect to revenue, total revenue grew 13% on capacity growth of 9.6%. Yield improved 3.1% and load factor improved 1.2 percentage points. With respect to costs, we're very pleased with our progress in the first quarter. Excluding fuel and profit-sharing, year-over-year first quarter unit costs decreased 1.9%. This is within our January guidance range of negative 1.5% to negative 3.5% despite, again, winter storm cancellations which reduced our capacity growth in the quarter by about 2.5 percentage points. Overall, we estimate winter storms have reduced operating income in the quarter by about $10 million. This is a very good result considering the number and magnitude of the storms. Winter storm Juno, which hit in late January, was the most financially impactful and represented about a third of the lost operating income. In the quarter, year-over-year unit cost pressure came from maintenance, materials and repairs, depreciation, and of course storm related de-icing. Turning to fuel; in the first quarter, 21% of our fuel consumption was hedged using jet fuel swaps and caps. Including the impact of fuel hedging and taxes, our fuel price in the first quarter was $2.06; that's down from last year's per gallon price of $3.14, or 34%. We did not add to our hedge book in the first quarter. We've hedged about 17% of our expected full-year 2015 fuel consumption. Based on the forward curve as of April 20, we expect our second quarter fuel price per gallon, including again the impact of taxes and hedges, to be approximately $2.11. Given the volatility in fuel prices, we're not providing an annual fuel estimate. However, as we did last quarter to help you forecast, assuming again the April 20 forward curve on a full-year basis, our all-in fuel price would be $2.12. For more specific details regarding our hedge positions, please refer to our Investor Update, which was filed with the SEC and made available on the Investor Relations section of our website prior to the start of today's call. Moving on to the balance sheet; we ended the quarter with approximately $1 billion in cash and short-term investments. During the first quarter we made debt and capital lease payments of approximately $55 million. Improving our balance sheet remains a priority. Lower fuel prices are simply accelerating our plans increasing cash from operations and allowing us to consider opportunistic debt prepayments. While we do not buy shares or make debt prepayments in the first quarter, we anticipate over the full course of the year we will continue to offset dilution from crew member stock compensation in accordance with our previously announced stock repurchase program. We also expect to closely evaluate debt prepayment options. With respect to CapEx and the fleet, JetBlue ended the quarter with 205 aircrafts, including 130 A320s, 60 E190s and 15 A321s. We purchased two A321 aircrafts in the first quarter with cash and expect to take delivery of 10 more A321s throughout the remainder of the year, with three scheduled to come in the second quarter. Given the strength of our cash flow from operations, in part of course to lower fuel prices, the current presumption is that we will pay cash for all of our 2015 deliveries. In the second quarter 2015, we project total CapEx of $195 million with $155 million related to aircraft. For the full year 2015, we continue to forecast non-aircraft CapEx of $150 million to $200 million. We still expect total CapEx in 2015 of approximately $810 million to $860 million. Turning to capacity; we plan to grow ASMs between 5.5% and 7.5% year-over-year in the second quarter. Our full-year capacity guidance remains unchanged at between 7% and 9%. As we said last quarter, we are not assuming lower fuel prices are here to stay, and therefore we are not adjusting our capacity plans. Turning to the revenue outlook; we continue to see solid demand across our network. We expect passenger RASM to be up between 3% and 4% year-over-year in April. Although we do not provide quarterly passenger RASM guidance, I would note May and early June are typically shorter periods for JetBlue. Moving onto costs; in the second quarter, we expect CASM, excluding fuel and profit-sharing, to increase between 1% and 3% year-over-year. Looking at full year 2015, our guidance is unchanged and calls for CASM ex-fuel and profit sharing to only increase between 0% and 2%. In closing, we're very pleased with our first quarter results. Our crew members remain highly engaged and we're excited to keep delivering on our plans and improving our returns for 2015 and beyond. And with that, we are ready for questions. Kevin?
Kevin Crissey - Director-Investor Relations: Thanks, everyone. Lynn, we're now ready to take question-and-answer session from the analysts. Can you please give the instructions?
Operator: Certainly. We will now begin the question-and-answer session for investors and analysts. Our first question comes from Jamie Baker with JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Good morning, everybody. Robin, just hoping for an update on your views regarding LaGuardia perimeter. I've also gotten mixed responses as to whether A320s and A321s in your configurations can do westbound year round without a seat block? Surprisingly, if I asked you the question of Boeing, I get a different answer than if I ask Airbus. Have you looked at the operational feasibility yet?
Robin Hayes - Chief Executive Officer and Member of the Board: Thanks for the question, Jamie. I'm going to actually ask Marty to answer that one.
Jamie N. Baker - JPMorgan Securities LLC: Okay.
Martin J. St. George - Executive Vice President-Commercial & Planning: Okay, Jamie. Listen our view on LaGuardia is that we're barely at the bottom of the first inning right now as far as what shakes out with respect to the changes in perimeter rule. It's a pretty significant shift in policy. Our view of this is there is a lot of work to be done before we expect to see any change in here. The port authorities engaged all the carriers, not just one carrier and a community, with respect to a change in the policy. The second issue is that operationally, we think LaGuardia is going to be very, very challenged to manage this. And I think one of our competitors has made comments about flying twin-aisle widebodies in this market. If you think about the impact of replacing 50-seat RJs with 220-seat 767s, I don't think the airport's ready to handle that. And the third issue is, it certainly creates a interesting competitive balance within Metropolitan New York, and I think it's an area where we want to be talking about things like slot divestitures to make sure that we maintain a competitive marketplace.
Jamie N. Baker - JPMorgan Securities LLC: And second, turning to fuel efficiency, I'm not sure what metric you use internally. We tend to just look at ASMs per gallon because it's easy. There was no major change in the first quarter and nor does the Q2 guide suggest there will be. Densification, as I recall, is a – on the A320s is a 2016 event. I'm just trying to think if there are any drivers in deliveries or network issues next year that would drive any improvement in fuel efficiency or is 2016 the year where we see the big increase?
Mark D. Powers - Chief Financial Officer: That's a good question. It's Mark. Jamie. Obviously bringing in 10 or so airplanes is a good thing. We haven't changed the average stage lengths, so that's not driving it. So I think that the big jump in fuel efficiency is, not to overstate it, but with the delivery in 2018 of the A321neo.
Jamie N. Baker - JPMorgan Securities LLC: Okay. Helpful. And just because the line was breaking up, we heard the April RASM guide. What was your comment on May and June?
Martin J. St. George - Executive Vice President-Commercial & Planning: So we didn't comment on May and June. Here is what I'd say about May and June. I mean first of all, back to the point that Mark made earlier is, they are more shoulder months. Last time in (20:48) April...
Jamie N. Baker - JPMorgan Securities LLC: Okay. Yes.
Martin J. St. George - Executive Vice President-Commercial & Planning: ...month had lot of peaks in it. I will say this much, we didn't really give any direct guidance, but we're viewing RASM as being modestly positive in both of those months.
Jamie N. Baker - JPMorgan Securities LLC: Sure. Sure. Okay. That's helpful. Thanks, everybody.
Operator: Your next question comes from the line of Dan McKenzie with Buckingham Capital.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Short time (21:09) here. First question is, I'm wondering what the IT limitations for allowing connecting itineraries probably between the non-Mint and the Mint flights might be? And it appears that folks in Boston can connect on the Mint, but folks elsewhere in the Northeast cannot. So I guess it just seems from the outside looking in that JetBlue's leaving a lot of demand and revenue on the table. And I just wonder why it doesn't make sense to have folks elsewhere across the system compete for that local traveler in New York?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Dan. It's Marty. Thanks for that. Here's what I will say. The process that we went through on the current platform has meant that there are certain destinations we cannot offer Min connections on because of the Sabre limitations with our website. When we bring our next platform on with Datalex that will be completely different and we're very optimistic about all the merchandising capabilities of Datalex, including full connectivity.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Got it. And the Datalex platform coming onboard again, is that second quarter?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yes.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. And then I guess following up, is the better balance sheet a priority? I see the principal payments that you're planning on here, but how much debt are you thinking that you'd want to prepay this year in addition to the principal debt coming due?
Mark D. Powers - Chief Financial Officer: Well, we're looking opportunistically at – I won't give a number, but certainly by the next quarter or so we certainly have some plans. A lot of them require some negotiation, so I don't want to play my hand too much on that.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Very good. Okay. Thanks, guys.
Operator: Your next question comes from the line of Michael Linenberg with Deutsche Bank. Please go ahead.
Richa Talwar - Deutsche Bank Securities, Inc.: Hi, everyone. This is actually Richa in for Mike. Thanks for the time. So, first, I was curious to hear more about your new credit card agreement with Barclays and your decision to choose Barclays over Amex. I would think that that has positive implications for your financials, but I was hoping you could maybe help us frame the potential benefit from balance sheet, cash flow and/or income statement perspective?
Robin Hayes - Chief Executive Officer and Member of the Board: Hi, thanks. Well, here's an update, first of all. The contract with American Express ends December 31 of this year. We did go through an RFP process. We have not actually announced who our partner will be, but I will say we will be operating under different contracts in 2016. We did give guidance on Investor Day as far as the benefit we see from that. It's significantly better economics than we have today. We're very excited about it, but I can't give any more guidance beyond what we said on the Investor Day.
Richa Talwar - Deutsche Bank Securities, Inc.: Okay. Fair enough. And then, Mark, a follow up on that – on the question about prepaying debt. Can you help us maybe size up any potential interest expense savings you're targeting or to generate from the moves you plan to make this year?
Mark D. Powers - Chief Financial Officer: No, I can't really. But I would highlight Jim Leddy and his team this quarter we saved $3 million of interest expense by virtue of prior debt prepayments.
Richa Talwar - Deutsche Bank Securities, Inc.: Okay. Well then that's it from me. Thank you.
Mark D. Powers - Chief Financial Officer: Thank you.
Operator: Your next question comes from the line of Hunter Keay with Wolfe Research. Please go ahead.
Hunter K. Keay - Wolfe Research LLC: Hey. Thanks, everybody, and good morning.
Robin Hayes - Chief Executive Officer and Member of the Board: Hey, Hunter.
Hunter K. Keay - Wolfe Research LLC: That PRASM guide for April was remarkably better than I think a lot of people were talking about. I had some people thinking you guys might be down high-single digits because of the comp alone. So can you help us give some more color? I mean obviously it's not Fare Families. That hasn't started yet. So can you help give us some more color maybe by geography? I know you said Mint RASM was up 20%, but what kind of contribution is that driving? How much of this maybe is some competitive capacity tailwinds that you may be seeing in the Caribbean? Can you just help us flush out any more color and what's driving that so that we can sort of think about the sustainability? Thanks a lot.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Hunter. It's Marty. Here is what I would say. First of all, we saw strength across the network. And with respect to competitive capacity, it comes and goes by region. I don't think that's really a big driver. Honestly, I think the biggest driver, specifically for April, was that a little bit unusual for the Northeast. We had a pretty elongated school holiday period. We had school holiday starting really the last week of March and going all the way through the third week of April in the tri-state area around New York. And these are time periods where historically when they've been concentrated in one week, we've had almost infinite demand. So the ability to spread that demand across three weeks or four weeks has been very leverage (25:46) for us. I think that has been very positive for us in April.
Hunter K. Keay - Wolfe Research LLC: Okay. Thanks, Marty. And another one for you too, I guess. You mentioned WestJet by name at your Analyst Day, some of that implemented Datalex and rolled out their own sort of version of the Fare Families, and that rollout didn't go very well. Initially I think there was some communication problems and there were some issues they had with their employees trying to understand what the product it was and how they are trying to do it. Is there anything that you've learned from those guys that you might be able to leverage in your own rollout? Are you going to do this cautiously and what can you take away from what didn't work there or what you guys can make work for you? Thanks for the time.
Martin J. St. George - Executive Vice President-Commercial & Planning: Well, I'm not going to comment on WestJet's implementation, whether it's good or bad. What I will say is we are fixated on making sure that the rollout of fare options by our crew members is going to be something that is very well trained on and they fully understand. The training has already begun and it's going to continue right up until the launch date later on this quarter. We're very optimistic that we've designed a system that's going to be simple for crew members, simple for customers and also accretive. So listen, my view is you can never train enough, you can never prepare enough, but I think we're doing about as much as we can.
Hunter K. Keay - Wolfe Research LLC: Thanks, Marty.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore ISI. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Hey, good morning. Thanks. Just a question on profit sharing. It looks like you're accruing at maybe a higher level. Was there anything specific about the first quarter or if we're to assume a similar level of profitability or margins that we saw in the first quarter, would we expect to see that run rate going forward?
Robin Hayes - Chief Executive Officer and Member of the Board: Yes, hi, Duane. We have not changed the profit-sharing methodology or calculation methodology at all. So obviously profit sharing logically should be higher in a higher-margin environment. But we haven't made any changes to the program. I believe, in fact, it may be described again in the 10-Q that's coming out, the methodology. And if you have other questions, obviously, Kevin is ready to take any questions you may have later.
Duane Pfennigwerth - Evercore ISI: All right. That's helpful. I guess as a percent of your pre-tax income, it certainly is at a higher level because we haven't seen margins like this in a while. And then just on Fare Families, can you give any finer point on when you'd expect that to launch? What percent of your customers might actually be facing a bag fee? And then just logically, if you flip the switch sometime in Q2, when that would actually contribute? Is it a 3Q or 4Q dynamic more than a 2Q dynamic? Thanks.
Robin Hayes - Chief Executive Officer and Member of the Board: Yes. Thanks, Duane. We're still on track to launch in second quarter, and obviously on day one there's very few customers who are going to be given the option to purchase under the fare options program, and as the time goes forward on the booking curve, we'll see more and more, but we're not prepared to give any more guidance besides that.
Duane Pfennigwerth - Evercore ISI: Okay.
Operator: Thank you. Your next question comes from the line of Helane Becker with Cowen.
Helane R. Becker - Cowen & Co. LLC: Thanks very much, operator. Hi, guys. Thank you very much for the time. I think during the prepared remarks, you talked about three of your markets having better than expected or better than I guess your system average margins, right. So can you state which regions maybe underperforming, and if you can't say specifically the regions, can you just talk about things that you're doing to improve the margins in what you would consider to be underperforming regions? Thanks.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Helane. Here is what I would say. As you look at the top-level results we produced this quarter, everything got better. Obviously, with the impact of fuel and a strong demand environment, we're very happy with what we're seeing. The experience we go through of tweaking the markets is normal course of business for us. I mean we're constantly moving ASMs around based on opportunities where we see more demand or maybe opportunity to shift capacity. And you'll notice, we're not changing our capacity guidance for this year. I think that the best way for us to continue to improve margin in the network with respect to deployment is to move ASMs around opportunistically. The beauty of us is that we have a very well-diversified network. We've got several large focus cities. We've got six focus cities around North America. We're very happy to have those opportunities to move capacity around.
Robin Hayes - Chief Executive Officer and Member of the Board: And I think, Helane, if can just build on that. I think the point we were trying to make in calling out those three investments were, in terms of what we've talked about over the last few years, our significant network investments where we fielded questions around is this growth accretive to earnings. And I think what we're demonstrating both in Boston and Fort Lauderdale/Hollywood, which have been two of our high-growth markets is that they are actually not only growing quicker than anywhere else, but the margins we're seeing are growing quicker than anywhere else. And I think that's the point that we were trying to – we're certainly not calling them out and saying that others aren't performing to the degree we expect them to.
Helane R. Becker - Cowen & Co. LLC: Okay. Fair enough. Thank you for that clarification. I just had one follow-up, Robin, since you actually specially mentioned Emirates, I know they connect a lot of passengers over JFK to Orlando and now they are going to do their own non-stop to Orlando. So maybe a two-part question. One is, is there an opportunity for you to take Orlando passengers to Mexico and elsewhere, or is that more of an O&T (31:44) market? And then because I think you fly south from Orlando on some days, and then are you concerned about passengers over JFK who won't be on your system anymore?
Robin Hayes - Chief Executive Officer and Member of the Board: Thanks, Helane. Certainly, to your question around Orlando, absolutely. I mean specifically, we don't fly to Mexico City yet, but it's something we are working actively on. But yes, we would expect connecting traffic to feed from Emirates into the JetBlue network out into Orlando. And in terms of are we concerned about losing traffic between JFK and Orlando, no, not at all. I mean there is plenty of other demand for a market like that where we're already so strong. So I think all together, what I did mention is, the up-gauging of capacity into JFK on Emirates as well. I think all of those will feed more growth and more customers into the JetBlue network.
Helane R. Becker - Cowen & Co. LLC: Great. Thank you so much. I appreciate the help.
Operator: Your next question comes from the line of Andrew Didora with Bank of America. Please go ahead.
Andrew G. Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi. Good morning, everyone. Thanks for the questions here. Just on the unit cost performance in 1Q. I obviously thought it was very, very encouraging, but I do see there was a step-up in terms of growth from 1Q into 2Q. Is that due to timing of certain costs or is there something else in there we should be aware of?
Mark D. Powers - Chief Financial Officer: There's a little bit of that, but it's nothing terribly exotic. I mean we did – obviously one of the nice things about the storms is, if you will, is some of the maintenance gets pushed off because of the hours and cycles you're not burning. So there'll be a little blip on the maintenance side, but nothing significantly on that.
Andrew G. Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. And then just, Mark, I know you mentioned in your prepared remarks no change to the hedge book in 1Q. Should we read this as any sort of any shift in your hedging strategy? I mean do you plan on layering in more hedges in this environment for the back half of 2015 and heading into 2016 here?
Mark D. Powers - Chief Financial Officer: It's hard to say. And the reason why we say that is our policy is essentially to – we obviously look at what our competitors are doing. We also look at the environment. We have not – I think it's very important – while we did not place any hedges in the first quarter, but we have not abandoned the hedge program itself. So we fully intend to keep our options open. And I should come back to your CASM. I mean we're still – we go back to our Investor Day commitment of the below 2% and we plan on managing not only next quarter but full year and staying within that guidance that we provided you in November.
Andrew G. Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Savi Syth with Raymond James. Please go ahead.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning. And Mark, a question for you. I know there is noise around the quarters, but could you remind me again just what maintenance and labor cost growth, either on a unit basis or overall should be trending in 2015, 2016?
Mark D. Powers - Chief Financial Officer: I don't think actually we've provided that level of granularity. I think if we go back to Investor Day, we did note that MM&R sort of reflects the aging of the fleet. We've actively addressed it through a lot of flight-hour types of agreements and we continue on that track. But I don't believe that we have gotten as granular as providing sort of the breakout of the various components of our CASM guidance.
Savanthi N. Syth - Raymond James & Associates, Inc.: Should it be similar to 2015 in 2016 or I mean is there something that's off about either of those years?
Mark D. Powers - Chief Financial Officer: No, you'll have to stay within the overall cost guidance that we've provided. But I really don't want to start to get into line item by line item.
Savanthi N. Syth - Raymond James & Associates, Inc.: Sure.
Mark D. Powers - Chief Financial Officer: That will be a long day.
Savanthi N. Syth - Raymond James & Associates, Inc.: Sure. And maybe Mark then on that, so the – keeping it within the 0% to 2%, does that take into account maybe the cost related to kind of the cabin refresh that will be going on in 2016?
Mark D. Powers - Chief Financial Officer: Sure does.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay, great. And then just a question on the – follow-up on the Mint side. What's the fare trend on the non-Mint experience fares? I'm just trying to get a sense of, is there kind of the non-Mint fares declining and being fully offset by the kind of the Mint fares or what's driving that program?
Mark D. Powers - Chief Financial Officer: Yeah, Savi, on Mint – or excuse me, on core prices in the Transcon, they're set with the market. I mean, honestly, I think we've said we've seen some good strength in all of Transcon this quarter, not just in our Mint markets. But we have no significant change in strategy for our core pricing. We do have a change in strategy for our Mint pricing versus the industry. I mean, our goal is to go in there and lower fares significantly which we have done, and I think that's been part of what's made Mint so successful.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Helpful. Thank you.
Operator: Your next question comes from the line of Tom Kim with Goldman Sachs. Please go ahead.
Tom Kim - Goldman Sachs & Co.: Hi, thank you. I wanted to ask about headcounts. Is it possible to breakout some of the curves (37:31) in terms of FTEs during the prior quarter? And then what do you think staffing requirements would be for the remainder of the year?
Mark D. Powers - Chief Financial Officer: Actually, I don't know the specifics of that. I would say, our FTEs per ASM have been growing slower than ASMs by about 2% overall. And beyond that, I don't really have much more. I mean clearly, you don't deliver – the cost performance for delivery by massively ramping up, so it's a big element of cost. And consistent with our CASM execution, we're pretty tight on that. For other details though I think, Kevin, you might circle back with Tom if you want.
Kevin Crissey - Director-Investor Relations: Absolutely, Tom, I'll get back to you with the details.
Mark D. Powers - Chief Financial Officer: Cool.
Tom Kim - Goldman Sachs & Co.: Okay. All right, great. That's helpful. And then just with regard to the increase in maintenance, you alluded to the fact that storms impacted that. I'm wondering can you give us a sense of what like a good run rate to assume for maintenance growth or at least breakout maybe what the storm impact was?
Mark D. Powers - Chief Financial Officer: Well, again, if you are converting to a flight-hour type of agreements and you're taking 2.5% ASMs out of your system because of storms, you're going to have that savings just in terms of the hourly because you're not accumulating the hours. So that maybe the only sort of good news related to storm. And obviously the better news is that, despite the storms operating performance really excelled this year. But I don't think we want to get into sort of the details of maintenance other than again, while we are taking 10 airplanes or 12 airplanes a year with presumably maintenance (39:13) the fleet is getting older and therefore you should expect sort of year-over-year core maintenance would increase even with flight-hour types of agreements.
Tom Kim - Goldman Sachs & Co.: Okay, sorry. My last question, Mark, just specific with the fuel hedging side. Can you give us a sense of like where the upper and lower boundaries are, like at what point does – to what point or to what extent you're participating with lower fuel prices, like at what stage does price start to actually negatively impact and result in hedge losses?
Mark D. Powers - Chief Financial Officer: Oh, we're still far away from that. It's really nice to be positioned where we are. If you look at the investor update which we filed earlier today, you know, the – this – we were 20% hedged this quarter and the price levels are described in the update, and then moving forward we're in the 14% or 17% in the quarters ahead. So we're participating on the other side of 2014 or 2015 to a great extent in the current fuel environment. And I should note that we enjoy the position. We didn't have to buy our way into that position or buy out of hedges, but those were basically -- I haven't – this is the hedge book we had at the start of the year. So we've had full enjoyment or nearly complete enjoyment of the lower prices. Again the prices themselves are set forth in the investor update if you want to get a little bit more details by quarter.
Tom Kim - Goldman Sachs & Co.: Thanks, Mark.
Mark D. Powers - Chief Financial Officer: Thanks, Tom.
Operator: Your next question comes from the line of Joe DeNardi with Stifel. Please go ahead.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Hey, thanks. Good morning. So, Robin, I appreciate the commentary around not adjusting your capacity in light of lower fuel prices, but maybe given how strong the revenue performance has been, how does that impact the way that you think about capacity going forward. I mean, is there a bias towards growing more or growing less, if not this year into next year?
Robin Hayes - Chief Executive Officer and Member of the Board: No, I will repeat the comments made on the last quarter. I mean, we still want to run this company for a much higher fuel price. That definitely means that we don't want to just add a flight, add a market, and then six months to nine months be looking at that and saying, well, fuels – it's not working anymore. So we're just planning extremely cautiously. We have a lot of the mix shift in front of us. We have fare options, which you know about, we have the seat densification and the refresh of the 320 cabin into next year, and we're just very focused right now on executing those initiatives.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And then with regards to Mint and the new markets you're exploring there, would you care to characterize what type of markets they are? Is it more of a business market or leisure, like what you're doing in Aruba and Barbados?
Robin Hayes - Chief Executive Officer and Member of the Board: Well, I think, you've heard me and others say before that one of the pleasant surprises with Mint was how well we've done with the sort of corporate market. I mean, when we built the product for JFK-LAX and JFK-San Francisco, we really had the leisure traveler and the sort of small, medium sized corporate in mind. But we've been pleasantly surprised how much business we've been getting from larger corporates. I mean on many, many days, these flights are sold out days ahead. And so, we've been pleased by that. And you've heard me mention things like Boston-LAX, Boston-San Francisco before. I mean that's the type of market where we're looking at, but we haven't made any final decisions yet. And once we have, we'll commit and make sure that that's communicated out.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And then the April revenue commentary, I just want to clarify was that PRASM or TRASM?
Mark D. Powers - Chief Financial Officer: PRASM.
Robin Hayes - Chief Executive Officer and Member of the Board: PRASM.
Martin J. St. George - Executive Vice President-Commercial & Planning: PRASM.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Michael Derchin with Sterne Agee CRT. Please go ahead.
Michael Derchin - Sterne Agee CRT: Hi, guys. Great start to the year. I remember not too long ago, when your first quarter results were full-year results. This is incredible.
Unknown Speaker: (43:32)
Michael Derchin - Sterne Agee CRT: Most of my questions have been answered. Could you share any light on the competitive capacity outlook for the second quarter and third quarters. You said it was pretty favorable in the first quarter; how is it looking in the second quarter and third quarters?
Robin Hayes - Chief Executive Officer and Member of the Board: Hi, Michael. There's really no dramatic change quarter-by-quarter. I think the competitive environment we see right now looks like it's holding throughout the rest of the year. But again it ebbs and flows I mean, ASMs come in, ASMs go out. We're really – we're more focused on just executing the plan as we've laid it out.
Michael Derchin - Sterne Agee CRT: And just going back to kind of evaluating Mint's expansion, and I know Aruba and Barbados are obviously north south markets. Have you thought about north south markets, because there certainly is a – may not be a corporate demand, but there's certainly wealthy individual, VFR kind of demand for that product on some longer haul north south markets as well.
Robin Hayes - Chief Executive Officer and Member of the Board: Yeah, no we're looking at all of that, and as I said when we have news, Michael, we'll be very excited to share it. I think, we've been absolutely ecstatic how well Mint has performed, and a couple of years ago when we stood up an Investor Day and sort of talked about the RASM gap, we were saying on Transcon the ability for I think us to so effectively plug that and create a product that has -- really if we go back to our roots and go back to our mission of inspiring humanity, creating a product which cuts the fare and offers a better experience than our competitors I mean that is just what the core JetBlue DNA is all about. And we think that there are a lot more places where Mint could be successful.
Michael Derchin - Sterne Agee CRT: Thanks very much.
Operator: We have one more question from the line of Duane Pfennigwerth with Evercore ISI. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Thanks. Thanks for taking the follow-ups. As we think about sort of upside from Mint and where can it go from here, can you comment on the average paid fare so far or maybe in the first quarter? We see a lot of price points out there at $599, is that kind of representative of the fares you're realizing?
Mark D. Powers - Chief Financial Officer: So, Duane, I'm not going to give specific fare performance for Mint, but I will say this much, and we have gone through two rounds of fare increases in Mint based on the demand we're seeing. Back to the comment that Robin made a few questions ago, we have several flights in the market that are sold out several days before departure. And obviously, you look at a situation like that, you really think about opportunities to increase price to create more availability, because fundamentally selling a flight out a week, four days, five days out doesn't do anybody any good. With respect to the pricing though, we said from the beginning and I want to reiterate, we have no aspiration to go back towards the legacy pricing model. I mean, JetBlue is all about providing lower fares for customers. This is a market where you routinely pay $2,200, $2,500 each way. We don't see that in our radar at all. With respect to the $599s, we are still selling some fares at $599. There is no question. There are some flights you have a lot of trouble getting that, there's some flights you can get that pretty regularly. This is normal blocking tackling for every management team. And I am actually very happy with how well revenue management team has done on looking at this market. This was really unknown territory for us and I think they've been very, very reactive and floor booking as far as how to best manage the net revenue management.
Duane Pfennigwerth - Evercore ISI: Okay. That's helpful color. And then just lastly if I could add on a network question; I'm just looking at your investor update here in some of the new routes. Can you give us some of your thought process, Marty, on a market like Baltimore-Fort Lauderdale, where I think Southwest has about 10 flights a day. What do you see as the opportunity on a new route like that?
Martin J. St. George - Executive Vice President-Commercial & Planning: Duane, it's a great question. You know, I'm very excited about Baltimore-Fort Lauderdale for couple of reasons. First of all, we're having good success in Baltimore-Boston route. Second thing is, we are building a very large operation in Fort Lauderdale Hollywood, not just for domestic customers, but also for connecting customers into Latin America and the Caribbean. And the third thing I'll say is that, if you would have pulled head-to-head RASM of JetBlue versus Southwest, we compete very, very well with Southwest, you know, not for nothing, I'd probably don't remind a lot of you on the call, but we do still offer the best product of any economy cabin in North America and customers respond it what extremely well. We compete very well against Southwest and I'm looking forward in that market.
Duane Pfennigwerth - Evercore ISI: Thank you.
Kevin Crissey - Director-Investor Relations: Well, thanks, everyone. That concludes our first quarter 2015 conference call. We look forward to talking to you again soon. Thank you.
Operator: And again, that will conclude today's conference. Thank you all for your participation.